Operator: Good morning, ladies and gentlemen and welcome to the Power Corporation Q2 2023 Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for a question. [Operator Instructions]. I would like to remind everyone that this call is being recorded on Friday, August 11, 2023. I would now like to turn the conference over to Mr. Jeffrey Orr, President and Chief Executive Officer of Power Corporation. Please go ahead, sir.
R. Jeffrey Orr: Thank you, operator and welcome everyone to earnings results call here. Happy Friday, everyone. Thanks for being with us. I would first start the presentation, just like to remind everyone, Page 3, we have our disclaimer regarding non-GAAP measures and forward-looking information. And with me today is Greg Tretiak, Chief Financial Officer of Power Corp and we're pleased to go through our presentation with you and open it up to questions later on. Just skipping forward several pages you've got on Page 6 other information from our various companies that's available to you regarding results and other recent presentations that have been done. And with that, I'll go right into the guts of the presentation on Page 7.  So this is a -- I am really pleased with the results and with developments since we last spoke at the end of Q1. First of all, from an earnings point of view, it was a very strong quarter for our group overall. To my mind, it really demonstrated the earnings power of our two key earnings driving a company has been Great West Lifeco and IGM. From Great West Lifeco’s perspective they have broad based earnings strength on a base earnings basis. And then led of course, by strong growth of the U.S. business through Power. There wasn't a lot of noise in the quarter for a base earnings and so really, to my mind demonstrated the earnings power of Great West Lifeco. And then when you go over to IGM, flat assets year-over-year, really solid earnings and really very kind of consistent performance. So very pleased with both the earnings at Great West Life and IGM. And then across the group we had good earnings results as well.  At the same time as you go to the bottom part of the page here continue to be extremely busy and executing on a number of -- strategic items were part of our value creation strategy, including a number of key transactions, the sale of Putnam to Franklin. Obviously, the largest of those, but also an important transaction for Sagard with ADQ and BMO. And along the way, we sold a position in Bellus for an after tax -- after tax proceeds of $97 million, which continues to be part of our strategy of selling non-core assets and creating funds for -- principally for share buybacks.  So I'll move over to then Page 8, you would know all of this information but just to say, it's a difficult environment, it's not impossible environment. But obviously with rates going up and with a lot of jitters around markets in the last several years, long-term fund flows have gone negative. At least this is a Canadian example at the start of the page. But you've also got the same phenomena happening with individual clients across a lot of markets in the United States. And money's been flowing in with rates where they are into term deposits. You just have one example of that, over the last couple of years the change in term deposits at the big six banks in Canada. So you're getting -- clients are putting money with attractive rates or buying CDs that have high, far higher pace than they had been previously. And they're being fairly defensive in terms of their long-term flows. We'll see how that lasts. Markets have been strong in both the U.S. and Canada over the last period here. So we'll see where they are as regards to change. But that's the environment in which we're operating in. And with that I'm going to turn it to Greg to actually walk through the financial results over the next few pages. Greg.
Gregory D. Tretiak: Great. Thanks, Jeff. And good morning. Jeff had mentioned strong adjusted earnings across the group were up $200 million, $847 million or $1.27 per share, versus the prior year of $647 million or $0.97. Of course the adjusted NAV is reflecting those strong earnings and you can see that we ended the quarter at $48.86 per share and it traveled to August 10th, to almost $50 at $49.95, so up sharply over 2022. And of course, we declared a dividend in the quarter at 52.50 cents.  And that takes me to Slide 10. Not to be too repetitive, but Great West Life very strong quarter and as Jeff mentioned, quality quarter and in terms of good solid growth from the underlying segments, in particular, the U.S. and the Capital and Risk Solutions segments. At IGM, just a quick note, as Jeff had mentioned, AUM not changing all that much year-over-year, but still delivering comparable results. IGM did have a restructuring charge in the quarter, which they see leading to expense reductions on a run rate basis of about $65 million a year. And they guided that you should see expense growth of only 2% a year and that will take us to GBL. GBL $90 million contribution to PCC this quarter versus the minus 27 year-over-year. Strong cash earnings at GBL and also some fair value marks on their GBL Capital portfolio in the quarter of about 17 million. And we had a reversal recovery of the Webhelp non-controlling interest liabilities of about $37 million in the quarter. That, as you all know, has been going against the earnings statement for nine consecutive quarters, as we took -- recognize the liability increase as the Webhelp asset increased over those periods.  It takes me to other investments and standalone businesses. We sold Bellus Health, which was a nice event during the quarter. We realized a $97 million on that. And corporate expenses, pretty simple in terms of the changes there. We have $17 million gain in the prior quarter from our cash settled liabilities in compensation and this quarter, it was a loss of $5 million. And 46 looks like a good number if you're looking at where we should be coming in for the remainder of year. That 46 per quarter is a pretty good number. The financing in income tax charges last year we had a deferred tax benefit that we recognized. So that is basically the difference there. And with that, I think I'll just go straight to Slide 11.  And here we break down the net asset values and of course, the big driver in the quarter being Great West Life, it was life that has had a very strong stock performance over the last couple of quarters and since March it is about 7% and of course that's reflected in our NAV. And as I said, at June, it was almost $49 and yesterday was almost knocking on the door of $50. So with that I will turn it over to Jeff.
R. Jeffrey Orr: Okay, thank you, Greg. And I'll move forward to Slide 12. I will just make a few comments on first opportunity to speak about the sale of Putnam to Franklin. Just start by saying we're really pleased with this transaction. We think it's going to work out really well for all the parties. Just a little bit of background. Putnam had -- we had really created an amazing investment engine at Putnam, I think if you look at Barron's [ph], they had Putnam as number two amongst the roughly 50 companies over the long-term ten-year track record. And I think the firm that was at number one was a sub advised platform. So if you look at pure investment firms that are managing their own funds, it is basically a fantastic long-term investment track which was translating into better flows. But the economics obviously we had struggled with those for years, as many of you have pointed out to us, and we were well aware of this really unlocks at economic value with a really good fit with Franklin.  And I think when I say all parties are going to benefit, I would start by clients of Putnam. This is the model of Franklin what they did with Legg Mason and all their other acquisitions, they leave the investment engines sector essentially unattached to standalone investment engines. All the lead portfolio managers at Putnam had signed up to the deal and to be part of the new company going forward prior to the announcement. So it's great for the clients, it is great for the people at Putnam. I think it's going to work out extremely well for the shareholders as well, for Great West Life, and ultimately up to Power Corp. And I think Franklin are going to be able to do a great job with it and will really benefit them in many fronts. And they'll be able over time to get the economics given their scale on so many functions, that they'll get the economic side of Putnam that we were struggling to get.  So a good transaction from Great West Life perspective is going on, it unlocks the value of Putnam. It wasn't earning any money for Putnam. We ended up with total potential proceeds over time of up to 1.7 billion to 1.8 billion. So that's a good transaction economically, unlocks the value. It really allows them to focus on their retirement and wealth management business in the U.S., put all of their focus on it, which is another great benefit. We think shares of Franklin will do well over time, and we're Great West Life shareholder, of Franklin. And then there's a distribution partnership that will benefit Franklin but also benefit Great West in our group.  As I said, the Canadian audience might think of Franklin as their Franklin Templeton but Franklin Templeton is, which is a traditional business, it's changed a lot in the last several years, under Jenny Johnson's leadership. And they bought Legg Mason, which is eight different investment platforms, really interesting performance and different capabilities. And then they've built out a great alternatives business, having purchased some of the leading private equity and debt shops around the U.S. and Europe. So lots of capabilities that will benefit across our platforms, so we will benefit from closer cooperation with them and our clients will benefit from that as well. So just very pleased with the transaction. Took a long time to get done, obviously but it was -- we're very pleased with the results.  As I flip to Page 13, I just want to kind of draw the lens back a little bit and give some perspective on what's happened in the U.S. If you go back to the start of 2019, so just four and a half years ago, Great West has completely repositioned its U.S. business. If I go back to the start of 2019, Great West U.S. business was three businesses and the largest of that was the individual life insurance and annuity business that was contributing the most profits. There was Empower and there was Putnam. The business was contributing, I think if you go in 2018, it was earning a little less than $400 million Canadian, contributing about 13% of Great West Lifeco’s earnings. We kicked off 2019 by announcing the sale of the individual life insurance business to Protective for a little over $2 billion. We then went on and did three significant transactions to enhance the position of Empower in their market and build it into the clear number two player in the U.S. market.  And then we've just announced the sale of Putnam. So over about a four and a half year period, we've gone through three businesses to one market leading business. If you go to the quarter that Great West Life just announced Empower earned 265 million Canadian or roughly 29% of Great West Life’s earnings, that's in one quarter only. So this has been a huge transformation from a strategic positioning point of view, a focused point of view. And we now have I think, a very competitive high growth business in the U.S. that is very meaningful to Great West Lifeco and I think it will become even more meaningful given what I think the growth prospects are for that business in the years ahead.  So that's the story there. I'm going to then move to Page 14 and just make a comment on IGM. It may be not quite as dramatic from a transactional point of view but IGM I think also, if you go back over the last five or more years, has really changed its business profile both internally through heavy investments in IG Wealth and McKenzie and also through a number of transactions. I think we are now in a position where in their two key fields, which is wealth management, the largest part of IGM and in asset management. They have two very strong Canadian players in IG Wealth and Mackenzie and then they have some very high growth prospect businesses as well in both wealth management and asset management, notably with significant plays in both the U.S. through Rockefeller and in China through ChinaAMC. So a lot of change has gone on in IGM, we really like the way the business is positioned. And Greg mentioned the initiative on cost. Like in IGM they are showing they can invest in their businesses, grow their businesses, while being very disciplined from a cost point of view and that continues to be a compressive and something that we're very encouraged by.  Alright, the ADQ BMO transaction. ADQ and BMO have become general partners and Great West Life also invested as well, they were already a partner in Sagard. And I think this is really going to help the continued strong growth of Sagard and help them get to the next level. It's validation of what Sagard has become, with third parties coming in and wanting to be part of it, and wanting to play a bigger role in investing in their funds. I think we will help fuel Sagard’s growth, which has already been very impressive and is consistent with the strategy that Power articulated. We have said we are all about creating value and ultimately profitability in our investment platforms. But we were looking to do that through third party capital. And so that third party capital comes in the form of LP commitments to their funds but it can also come in terms of participation through the GP. And by selling shares in the GP, we not only help to fund the growth of the GP and its own activities, but we also get more LP commitments. So we're all about creating shareholder value here and this, I think, is a big step forward and a validation of what we've been creating in Sagard.  PAGE 16 is just a reminder, we have -- we do spend a lot of time focused on the organic growth of our businesses. We have continued in the last -- in 2023 to be very active from a transactional point of view. As we've said, we're going to, as we talked about those three levers of value creation and number two is M&A at the operating businesses. Number three is we can do at the power level to create value. And you see on the page here, just a listing of some of the things that we've announced over the last several months in pursuit of our value creation strategy. Okay, turning then a few pages on the platforms themselves. So on Page 17, you've got -- the $21.8 billion of funded and unfunded AUM at Sagard and Power is sustainable. That's up from 19.2 billion a year ago. Pretty difficult funding environment out there. So we're pleased that they have been continued to be able to raise funds. And in the last quarter that just ended, Sagard had a couple of closings of their funds. That includes the Portage Capital Solutions Fund, which is a late stage FinTech fund. That's obviously a big position in FinTech, this is actually to buy into FinTech companies that are at later stages and what Portage has been investing in, as well as a another healthcare partners fund. That's a series two of that particular strategy.  At the bottom of the page, you see the 16 billion, the 21.8 billion of which 16 billion is funded. And you see Power Corp’s commitment to that is about 2.2 billion. We really have about the same amount of LP capital committed to those strategies as we had at the time we announced the transaction, the reorganization back at the end of 2020. And yet the funded AUM has grown dramatically and so again, to reemphasize the message we are trying to grow these businesses to profitability, to create value, and we're trying to do so without committing further capital to the strategies. We're recycling our LP capital as we get -- as platforms want us to be part of the seed as they launch new products, we're looking to recycle proceeds that we're getting from distributions that we're getting from our LP physicians. So that is what the strategy is.  And flipping to Page 18, you just get a breakdown on the fee bearing capital at the bottom right which is very close to the funded capital. And then you've got the economics there for Sagard and for Power sustainable Sagard. Our run rate and management fees is about $45 million Canadian in the quarter, that's just basically the fees before you get to carried interest. That can be a little noisy from quarter-to-quarter. Sometimes you get a closing in the quarter and there's a catch up on fees. It is not quite like the fund business or the asset management business. There can be some -- they can go and invest in a fund and also then they get a closing and all of a sudden you get catch up. And so there's a bit of lumpiness but it's not a bad indicator of run rate notwithstanding that you'll see a bit of noise quarter-to-quarter. And then you got a power sustainable, which has gotten to -- doesn't have the same level of AUM but has nonetheless done some good fundraising through a number of strategies and is looking to launch a number of other strategies in the quarters ahead to give it more scale.  Page 19, I am not going to spend a lot of time on this. We are doing a lot of work to try and get to the point where we can expect -- we're doing a lot of work to try and get to the point where we can explain to you what our returns have been on our LP and our different LPs investments, because it's hard to tell from our P&L. So we're doing a bunch of work to try and be able to share that with you in the quarters ahead. This is simply saying what we target in our different or what the strategies themselves target. So the top half, you've got basically more of the equity type strategies, private equity, venture capital, the Chinese strategies, there's about $1 billion of powers, NAV is invested in that. And the targets of those funds range from 10% to 18%, as LPs. And at the bottom half, you've got private credit royalty, more of a real estate. It's hard to put a line on these things, but those would tend to be lower return, but still attractive return strategies, lower risk, and returns on -- target returns tend to be 8% to 11%.  Okay, Page 20, a lot of questions on lion and LMP and Lumenpulse and when are we going to divest and what's our strategy there. We think we showed in a previous quarterly results that we have raised a lot of capital, but it hasn't been through Lion and through Lumenpulse, even though you might have thought -- we might have thought when we announced the strategy, they might -- they would have been at this point, we would have realized some capital on them. So we haven't done that. We focused on other things. We just announced Bellus, we continue to raise capital and monetize our assets. But Lion and Lumenpulse have -- it has not been opportune for us to do so at this point.  But this page points out that, having said that, they've continued to grow their businesses and we were up until 2020, the primary sources of capital for those two companies and that has completely changed since we announced the transaction. You've got at the top, Lion did its SPAC where Power put in something a little less than 20. I think I got 17 or 18 by memory, I'm not off by far, not off by much. And in 2022, we supported an offering they did. And then Lions just announced 142 million of financings and we were not part of that. So the overwhelming bulk of the growth of Lion has been financed by third parties and in the case of Lumenpulse, it's all been financed by third parties. So again, we're trying to build up the value help these businesses grow. We ultimately realized value on them and we're doing our best not to be the funder of their growth and of their value creation.  Which allows us on Page 21 to return capital to shareholders. We've been back more active on the buyback side recently. A total of $280 million invested in purchasing shares to this point, including about 160 post the end of the quarter, June 30th. Cash is a very respectable 1.4 billion, that's at the end of June 30th. So that does not include the 159, they're just above that saying that player is paying 159 million to buy some shares back. And as you know, we target about 800 million roughly in cash as a kind of a standing position and we are always very mindful of our credit ratings across the group.  Page 22, just a quick stop. We are very focused on shareholder returns. Just say, well, this is a July 30th, our Power Crops, return to shareholders relative to some of our key benchmarks. As you're all in the business, these things can be very sensitive to start dates and end dates. So you can't put too much emphasis on any one date, they can jump around. But nonetheless, we track this closely and we're not -- we're focused on absolute returns to shareholders, but we're also relatively competitive and keep our eye out as to how we're doing against our key benchmarks. And so that's just there for your edification.  As I flip to Page 23, those returns have been there, notwithstanding that the discount to NAV gapped out over a period from the middle of last year up until recently. It's started to come back down again. We could talk for an hour about what causes that and we're obviously not in the minds of all buyers and sellers of the stock so we don't have any perfect crystal ball as to what creates it. I simply rather than trying to explaining the ups and downs, I just look at the fact that when it goes up, it's an opportunity because I don't see the justification for where it is anywhere on these levels. I do understand through the period up to the end of 2018 why it was trading as high as it was, while the discount was as high as it was but as I've said many times I knew then the net present value of our expense load of roughly after tax of the 46 million that Greg talked about. On the expense load which gets you to about a 2% or 3% discount, I think the rest of it is all there for the taking and we're going to continue to be out, communicate and broaden our shareholder base and tell our story and continue to use that as an additional lever to drive value.  And Page 24, the last page is you've seen all this before, the strategy essentially remains unchanged. And we're continuing to be highly focused and very excited about the prospects for creating value. With that operator, I will end my comments. And we'd like you to open it up for questions from different people who would have questions?
Operator: [Operator Instructions]. The first question comes from Graham Ryding with TD Securities. Please go ahead.
Graham Ryding: Hi, good morning. Maybe I could just start with the Sagard partnership with the institutional partners you brought in. Can you just flush out sort of the I guess the pros and cons and why you see the benefits here of bringing in these partners, is it more around sort of fundraising and growth potential in exchange for giving up some of the ownership of this alternative platform?
R. Jeffrey Orr: Yeah, hi, Graham. Good morning. I think it is all about value creation, and about creating scale. And those partners bring and will bring significant LP commitments that will help both existing strategies at Sagard as well as helping to launch additional strategies. And they will also bring capital into Sagard to fund its own operations, including potentially whether Sagard would ever add groups. You've seen that in the past, where it was in fact, the real estate group that did Great West Life in the U.S. where the group became part of Sagard. Other opportunities for Sagard to add additional capabilities through other firms that might be out there, that's on the drawing board, it's not necessarily going to happen, but then provide some funding for that as well. But significant validation and significant LP commitments that will help to bring Sagard to the next level of growth, profitability, and ultimately create value for Power Corp. And if we can own a smaller chunk of a bigger, more successful firm, and we can do that, we'll do that if that's what's going to maximize our value. And that's the way we think about it.  [Multiple Speakers] 
Graham Ryding: That's helpful. How do you go about sort of determining value in this business given, it's obviously got a high growth rate but it's still it's not profitable yet, how do you go about sort of putting a pin in valuation when you're bringing in partners?
R. Jeffrey Orr: Yeah, well, there's lots of valuation metrics that are used, and they've got AUM, they've got revenue, they've got growth prospects. And so you get their evaluators to do that and look at your strategies, you've got forecasts on fees, on revenues, funds that are existing, funds that are there. The second and third versions of funds, then there's new funds, and they all get discounted at different rates. And there's a whole massive profession around how to value the GP and lots of firms are able to do that for a living because these positions trade a lot. And there's a lot of trading of GP positions in the world. Do you want to add to that Greg?
Gregory D. Tretiak: Yeah, I would just add that, both these platforms have a longer history than just the history that you may be aware of when the Sagard platform was launched with all three leading it and Power sustainable [indiscernible] they were legacy investments with several funds that had been successfully launched, for example, on Sagard side and Sagard Europe. We've been almost 20 years. So there's a history of success for launches of these funds and also a track record in terms of their ability to generate revenues for the GP. So it's not simply as a startup might be. So there's a track record as well, but it is useful in not only demonstrating to valuators, but also to participants. And so, both the BMO and ADQ would be fairly sophisticated purchasers and have their supporting ventures like this all the time. So we get feedback from them as well, obviously.
Graham Ryding: Okay, great. Just on the GBL piece, there was some gains this quarter around Webhelp, can you give us a little bit of color of what we should expect, if anything going forward around either further for fair market value gains, or these sort of reversals of these put liabilities because I believe this deal, the merger of Webhelp still has to close by the end of the year, I think?
R. Jeffrey Orr: Yeah, you're quite right about that. So Concentrix is the purchaser and we're hoping that they successfully close. And once that close there will be a gain on the transaction and at that time, you'll see a very significant reversal of that liability, and it's almost $1.6 billion on their books today. So that all goes away on the transaction. So that should be the last, if you will mark that we see when the transaction closes. So hopefully, that's helpful.
Graham Ryding: But just to be clear, are you going to -- is that going to flow through you as sort of your ownership position in GBL about 1.6 billion gain or reverse? 
R. Jeffrey Orr: Absolutely, yes. But the 1.6 that I quoted, right now, I think that's accurate. I'm just looking down the table, Jay, I think is 1.6, isn't it? Yeah. Okay. So, yeah. So we'll pick up a share of that proportionate share, Graham. 
Graham Ryding: Okay. Understood. That's it for me. Thank you. 
R. Jeffrey Orr: Thank you, Graham.
Operator: The next question comes from Geoff Kwan with RBC. Please go ahead. 
Geoffrey Kwan: Hi, good morning. Just wanted to follow up also on the ADQ BMO transaction. You mentioned how it helps the growth from the LP and also maybe from the GP level, but just wondering is there any benefits that might be contemplated from a distribution angle, whether or not it's from relationships they may have with other LP type investors? And then also too is there any plans to kind of grow distribution of your alternative strategies within the retail channel, kind of similar to what some other players in the industry have done?
R. Jeffrey Orr: I think yes and yes would be the answer. If there were two questions, two yeses; if there were three, three yeses because that was very how your questions are. Well, I think the first thing I use the word validation and so the fact that ADQ is in there, I think it will make a statement to investors, not just retail, but investors, institutional investors around the globe about the quality of what a Sagard is. And I think that I would be hopeful I think Sagard people will be hopeful that that leads to other LP opportunities with a broader base of investors. I think the focus on not the ADQ itself would be providing any distribution, it's a sovereign wealth fund. I don't think that -- but the fact that they've invested it will make a statement to a lot of people and open up different markets.  Very much Sagard is focused on the retail opportunities within our own platforms, but also on other platforms and retail, I got to be a little careful how I use that word, I mean, it goes from family office to high net worth shops to the democratization as the word is used to have all products that firms like MacKenzie and many others are doing across the world. So they're focused on doing that. The BMO partnership might help there as well but I'm not into it, it leads us to all of the opportunities that may be there. But Sagard like all of our alt platforms are looking to broaden out their distribution and not just be focused on the institutional marketplace. Because I think a lot of the growth over the next decade is going to come not just not from institutions, but it's going to come from high net worth, ultra-high net worth, and retail channels. I don't know if that answered your question.
Geoffrey Kwan: No, it does. Just the second question I had is on Page or Slide 18 from the presentation. There's the mention of additional fund launches expected. Is that new strategies that you're referring to or is it subsequent vintages of existing funds and if it's the former, just any insight as to what those new strategies might be?
R. Jeffrey Orr: There are some new strategies being launched. I don't know whether we've talked about them publicly, I'm looking at it right here [Multiple Speakers]. 
Gregory D. Tretiak: There are a couple of them have been announced actually, power sustainable is announced. The U.S. infrared debt fund and also I think they have plans to do similar in the UK. So I think that's been announced. And there are vintage as Jeff, as you quite rightly surmised, that are add ons to some of the existing funds. But there are always others on the drawing board but those are a couple things to look forward to.
Geoffrey Kwan: Okay, thank you. 
R. Jeffrey Orr: Thank you.
Operator: The next question comes from Tom MacKinnon with BMO Capital. Please go ahead.
Tom MacKinnon: Yes, thanks very much and good morning. Question on Slide 18 with respect to asset management activities, investment platform expenses remain elevated here and I'm wondering, is it just a matter of scale here that's needed before those management fees are going to be enough to significantly surpass those platform expenses? And how should those platform expenses trend, as you had launched additional fund strategies? And I have a follow up, thanks.
R. Jeffrey Orr: Yeah, great question. I'll take a first cut and then Greg, you can add whatever color you want. Yeah, I think in the case of Sagard, they're effectively on a fee basis right around breakeven on a cash expense basis. But they have pretty significant scale at this point, as you can just -- you annualized the management fee, there's a good revenue base there, that's just the base fees, and their expenses are running at about that level. So, more scale, more assets, scaling existing strategies, that might mean the next vintage of it is the way, easiest way to get back to a profitability point of view. And they're pretty close right now. What you end up always having a trade off with is that the opportunity to extend the products into adjacent products. So you've got a credit fund and you're in a particular part of the market. And if you can put a new credit fund right next door that's got a different tilt, that might be less risk or higher risk, you end up also scaling the core team. And then you try and add new strategies all together. And when you add new strategies all together, you create future value, but you go backwards on profitability, because you go, there's a J curve here. So you go, every time you add a new strategy, you're probably two, three years where you're incurring at the margins losses while you get the money to work and you get the scale going. So it's a continual trade off of how fast do you want -- how big do you want to be in five years versus how quickly do you want to get to profitability. And the fastest way to get to profitability is to not launch any new strategies, but then you're curtailing ultimately your value creation three, four or five years down the road. So I am not trying to be evasive. Sagard’s got lots of opportunities. They're right at the cusp of being profitable on a fee only basis, and, and there's a forever kind of discussion about new launches in the pace of property going forward. I don't know, does that answer your question. Maybe you were out looking for something…
Tom MacKinnon: No, that's good. And the follow up is there's a negative 10 in other on that slide, just not sure what that is. And what is your ownership now in Sagard, you know post the recent transaction with ADQ and BMO and GBL?
R. Jeffrey Orr: The other has got some noise in it. In fact, there are some transaction expenses, even though the transaction hasn't closed in it. That would be the, I think, a big chunk of it. And there's some non-cash equity amortization that is in that line, I believe, as well. But the biggest one is a one-time item and you get, we have a debate about whether non-cash equity amortization should be above the line in terms of fee related earnings or below the line. And we're doing our work as to how others around the industry disclose that. But that's what that number is. And anything to add on the profitability, I'll come back on the equity. There's a little bit of noise in that number this quarter Tom. 
Tom MacKinnon: And the ownership now -- transaction? 
R. Jeffrey Orr: Yeah, so we're above 50% but we're not much above 50% between management, which has got a significant chunk, a Great West Life, BMO and ADQ. Power is the majority shareholder. And I think we're going to look in terms of your questions and in terms of I think it was Graham's questions on how do you value this thing. When we get to a close here we're going to -- we'll talk about what we do with the mark. And we still got some work to do on that, it hasn't closed yet. But right now we're holding the GP interested, not a very significant interest, but will…
Tom MacKinnon: What was the ownership for the transaction, Jeff?
R. Jeffrey Orr: We would have been around 70% -- 78%.
Tom MacKinnon: So you went from 78% to just over 50%? 
R. Jeffrey Orr: Yes. 
Tom MacKinnon: Well -- it right away because of the negative earnings here so…
R. Jeffrey Orr: Yeah, well at this point, it's a value play not an earnings play. I hope you would appreciate that. 
Tom MacKinnon: I understand. I am just being facetious, sorry, thanks.
R. Jeffrey Orr: Yeah, no, but I think the value that's in Sagard will -- we've created value that will become evident, not still not massively material Power quote, but it is what it is. And we have got a business here that's growing quickly, that has got great capabilities, and yet recurring some value and I think this is a big step. But that was -- it was an important decision for us. Do we delude ourselves or do we continue to own a bigger chunk. And again, it came down to what's the way we're going to maximize the value of our position, and you put a value of maximization hat on and you say this was a good thing for Sagard and a good thing for Power. 
Tom MacKinnon: Thanks. 
R. Jeffrey Orr: Okay. Thanks, Tom.
Operator: [Operator Instructions]. The next question comes from Doug Young with Desjardins Capital Markets. Please go ahead.
Doug Young: Hi, good morning. I think this goes back first to what I think Jeff, you were alluding to in some of your prepared remarks. Just trying to get a little bit more color on the swings or the 18 million from Sagard in the investing activities. And that has been swinging all over the place, which as you know, I guess that's as expected. Can you talk a bit about, the big improvements sequentially, like what drove that, what are some of the drivers there?
R. Jeffrey Orr: Thank you, Doug. And I'm scrambling here to find the 18 that you're referring to. And so is Greg. 
Doug Young: It's under investment activities, proprietary capital, you've got Sagard and Power sustainable, it's Page A46 in your shareholder report, but… 
R. Jeffrey Orr: You have an answer to that question?
Gregory D. Tretiak: I don’t, I'm still trying to find the reference.
Doug Young: Yeah. We can always kind of come back, just wanting to understand a little bit more about the drivers there. But more importantly, with insight here, I mean, some of the things that I think about you've got a real estate fund in there, can you talk a bit about some of the exposure there that's been a hot topic across the financial sectors, and then you've got a Sustainable Energy Fund. Now obviously, IPP valuations have been hit hard and so just trying to and then you've got, fee caps coming through in China. Whether that has implications at all for the Sagard platform. So those are three areas there that are potential headwinds, but maybe they're not, so I'm just trying to get a little bit more color? 
R. Jeffrey Orr: Yeah, well, Greg, you look at those numbers, I'll just go to the fee caps in China that has no impact at all on our alternative assets platforms. We didn't mention that but for those of you think it would have been discussed in the IGM call, that's really in the retail business in China. The authorities put on a fee cap, which resulted in a rollback of some of the fees in the mutual fund industry. And that would affect retail funds. And we'll have I think IGM reported about a 12% impact on CMAC's profitability, but at the same time, the Chinese authorities are very conscious of having a healthy and profitable business. So that's a -- that is what it is, but it doesn't impact at all, that China's strategies to Power Stainable Capital has, those are not mutual fund strategies. We have ourselves and some institutions in that strategy, but not their retail. And with Greg, I hope I talked long enough to give you an opportunity to catch up to the page that Doug was asking about on the 18, do you want to make a comment [Multiple Speakers].
Gregory D. Tretiak: And we can follow up later too. But in the quarter, Doug it was largely driven by gains on our European funds. And those are all fair value through the P&L these days. And, also, we had good performance in the private credit and the healthcare royalties. So that's where the most of it came from. There was some negative marks on the real estate, the Upper West real estate, but not significant in the quarter, they don't have a lot of exposure to commercial properties. So that would be the key, I think, in terms of the quarter.
Doug Young: Okay, and you don't see anything on the sustainable, like sustainable energy side that's concerning to you from valuation or potential surprise impact within your funds?
R. Jeffrey Orr: No, I wouldn't say so. Certainly, we are in the business in Western Canada and the Alberta government did come out with an announcement the other day, but that's probably it's not going to affect what we have in the ground. So I don't see a particular headwind. But that's probably what you were alluding to. 
Doug Young: Okay. And then I guess what, I guess what everyone's trying to kind of ask around and I'll just kind of ask it directly. I mean, what was the valuation implied with the transaction of the GP, like, would you be willing to give that or is that something that you would be willing to give potentially at close?
R. Jeffrey Orr: Yeah, that's what I was just referring to Doug, thanks. Sorry, if I wasn't clear about that. I think we are considering that issue after close. Once we close as to what we do with the mark. We haven't landed exactly, but the bias would be to put -- would be to mark and disclose, but that we're not at that position right now to make a comment.
Doug Young: Okay. Lastly, sorry, go ahead. 
R. Jeffrey Orr: Yes, that’s it. 
Doug Young: Okay. And, just lastly maybe strategy wise, big picture wise, Great West has been doing deals in the adviser space to kind of position itself and have better distribution against the big banks and IGM is competing fiercely against the big banks, and we hear this time and time again. Now, what would it be valuable for Power and within the Power Group of Companies complex to have a schedule when bank license or an entity that is in that space and I know, if you go back in time, Power has had a banking franchise and whatnot, doesn't have it anymore. But like when you think about strategy and things that are missing within the group of companies, is that something, is that a reasonable direction to go? 
R. Jeffrey Orr: I think you start with a client focus and say you want to be able to provide as much capability to your clients as you possibly can. And that flows back into the health of your distribution. And then that ultimately flows back into profitability. So if you just go that level, you said like, we'd like to have more, and we should have more products. And in the last 24 months, the flowing back into banking products and CDs has shown that, right. That having cash products is important, people forgot about it over the period of interest rates going to zero and then staying there for so long and interest rates popped back up and all of sudden cash products are important. But once you go beyond that statement of how do you bring it to your clients, you get to, can you be competitive manufacturing it and can you do it on a scale basis, and can you do it on a sustainable basis. And then the question gets a lot trickier and the answer becomes less clear. And you've got if anything has been shown in the last 12 months, it's that it's basically a lesson of history, is that having a strong diversified deposit base as opposed to going out and building a business on kind of what I'd call hot money is maybe too strong, but kind of competing on rates. Having a strong diversified deposit base is essential in my mind and our minds to having a successful intermediary banking business, to having a banking business. And they're looking at that from a Canadian landscape point of view or a U.S. landscape, from where we are, that's a tall order. It's a really tall order. So that's where we always get to in that discussion. It doesn't mean we're not interested in providing banking products and services to our clients, and then trying to make some margin on it, where it's important to our offering. But it might be more distribution margin than it is the actual manufacturing side. I don't know if that answers your question, but that's the way we think about it.
Doug Young: Makes sense? Thanks for the color. 
R. Jeffrey Orr: Okay Doug, thank you.
Operator: Ladies and gentlemen, there are no further questions. So this concludes your conference call for today. Thank you for participating and you may now disconnect your line.
R. Jeffrey Orr: Thank you very much.